Operator: Good morning, and welcome to the Stepan Company Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded on Wednesday, July 30, 2025. It is now my pleasure to turn the call over to Mr. Ruben Velasquez, Vice President and Chief Financial Officer of Stepan Company. Mr. Velasquez, please go ahead.
Ruben Velasquez: Good morning, and thank you for joining the Stepan Company's Second Quarter 2025 Financial Review. Before we begin, please note that information in this conference call contains forward-looking statements, which are not historical facts. These statements involve risks and uncertainties that could cause actual results to differ materially, including, but not limited to, prospects for our foreign operations, global and regional economic conditions and factors detailed in our Securities and Exchange Commission filings. In addition, this conference call will include discussions of adjusted net income, adjusted EBITDA and free cash flow, which are non- GAAP measures. We provide reconciliations to the comparable GAAP measures in the earnings presentation and press release, which we have made available at www.stepan.com under the Investors section of our website. Whether you are joining us online or over the phone, we encourage you to review the investor slide presentation. We make these slides available at approximately the same time as when the earnings release is issued, and we hope that you find the information and perspectives helpful. With that, I would like to turn the call over to Mr. Luis Rojo, our President and Chief Executive Officer.
Luis E. Rojo: Thank you, Ruben. Good morning, and thank you all for joining us today to discuss our second quarter 2025 results. Before we turn to business, I would like to welcome Ruben to his first Stepan conference earnings call, and I look forward to working together on our new journey of growth and transformation. I also want to extend my sincere appreciation to Sam for his dedication, steady leadership and contributions to the interim period. Thank you, Sam. Moving on, I plan to share highlights of the quarterly performance and we'll also share updates on our key strategic priorities, while Ruben will provide additional details on our financial results. We delivered double-digit adjusted EBITDA growth in the first half of 2025. These results were restrained by the significant increase in oleochemical's raw material prices, which impacted Surfactant margins. We are planning to recover our margins gradually going forward. The company reported second quarter adjusted EBITDA of $51.4 million, up 8% versus the prior year. Polymers delivered double-digit adjusted EBITDA growth. Surfactant-adjusted EBITDA was similar to last year, driven by excellent growth in our crop productivity business, fully offset by significant raw material inflation. Specialty Products adjusted EBITDA was impacted by order timing changes, and the business continues to deliver solid growth. Volume grew 1% with Polymers up 7% and our NCT product line up 49%, while surfactants volume was down 1%. We continue to experience double-digit volume growth within the crop productivity and oilfield end markets, which was offset by lower demand within the global commodity consumer products end market. North America and European Rigid Polyols volume grew low single digits, while the commodity PA business continues to deliver a strong growth year-over-year. We believe that Rigid Polyol growth in North America and Europe continues to be restrained by global macroeconomic uncertainties and the high interest rate environment. We remain encouraged by the volume growth across several of our key strategic end markets. We finished the second quarter of 2025 with $12 million of adjusted net income, up 27% versus the prior year, driven by earnings growth in polymers and crop productivity as well as a lower tax rate. Production at our new Pasadena, Texas site is ramping up and should provide incremental benefits in the second half of the year. During the second quarter of 2025, the company paid $8.7 million in dividends to shareholders. Our Board of Directors declared a quarterly cash dividend on Stefan stock of $0.385 per share, payable on September 15, 2025. EPA has paid and increased its dividend for 57 consecutive years. Ruben will now share some details of our second quarter results.
Ruben Velasquez: Thank you, Luis. My comments will generally follow the slide presentation. Let's just start with Slide 4 to recap the quarter. Second quarter 2025 adjusted net income was $12 million or $0.52 per diluted share versus $9.4 million or $0.41 per diluted share for the second quarter of last year, a 27% increase. The increase was driven by earnings growth across Polymers and Crop Productivity and a lower tax rate. Significantly higher oleochemical raw material costs continue to impact Surfactant margins. Earnings growth was also impacted by higher start-up expenses at our new alkoxylation facility in Pasadena, Texas, and environmental remediation reserve adjustment at our Millsdale site and an EPA penalty. We believe that we will be able to recover the EPA penalty from third parties. Cash from operations was $11.2 million for the quarter, and free cash flow was negative at $14.4 million due to inventory builds in anticipation of tariffs and to provide safety stock in advance of the hurricane season and a new collective bargaining agreement in our Millsdale site. Slide 5 shows the total company net income bridge for the second quarter of 2025 compared to last year's second quarter and breaks down the increase in adjusted income. Because this is net income, the figures noted are on an after-tax basis. We will cover each segment in more detail, but to summarize, we delivered operating income growth in Polymers, partially offset by lower operating results in Surfactants and Specialty Products. The second quarter results benefited from a lower effective tax rate. The effective tax rate was 19.2% during the first half of the year versus our normal range of 24% to 26%. This decrease was primarily driven by favorable discrete items associated with the tax audit settlement in the U.S. Slide 6 shows the total company adjusted EBITDA bridge for the second quarter compared to last year's second quarter. Adjusted EBITDA was $51.4 million versus $47.7 million in the prior year, an 8% increase. We will cover each segment in more detail, but to summarize, we delivered adjusted EBITDA growth in Global Polymers, partially offset by Specialty Products and slightly lower earnings in Surfactants. Adjusted EBITDA results also benefited from lower corporate expenses compared to previous year. Slide 7 focuses on the Surfactant segment results. Surfactant net sales were $411.5 million for the quarter, an 8% increase versus prior year. Selling prices were up 11%, primarily due to improved product and customer mix and the pass-through of higher raw material costs. Sales volume declined 1% year-over-year due to lower demand within the global commodity consumer product end markets, partially offset by double-digit growth within the agricultural and oilfield end markets. Foreign currency translation negatively impacted net sales by 2%. Surfactant adjusted EBITDA decreased $0.5 million or 1% versus the prior year. This decrease was driven by the 1% contraction in sales volume, higher Pasadena site start-up expenses and the significant rise in oleochemical raw material prices, together with an increase to an environmental remediation reserve at our Millsdale site and an EPA fine. This was partially offset by improved product and customer mix. Moving to Slide 8. Polymer net sales were $162.8 million for the quarter, a 2% increase versus the prior year. Selling prices decreased 7%, primarily due to the pass-through of lower raw material costs and competitive pressures. Sales volume increased 7% in the quarter. North American and European Rigid Polyol volume grew low single digits despite the continued challenging overall environment. Specialty Polyols was down low single digits and commodity Phthalic Anhydride volume delivered strong growth year-over-year. China Polymers volume was down low double digits. Foreign currency translation had a positive impact of 2% on net sales during the quarter. Polymer adjusted EBITDA increased $3.8 million or 17% versus the prior year, primarily due to 7% volume growth, which was partially offset by less favorable product mix. Finally, Specialty Product net sales were $20.5 million for the quarter, a 22% increase versus the prior year, primarily due to higher sales volume. Specialty Products adjusted EBITDA decreased $2.1 million or 24%. The decrease in adjusted EBITDA was primarily due to order timing fluctuations within the Pharmaceutical business as orders were moved from the second quarter to the second half of the year. Next, on Slide 9. Free cash flow was negative at $14.4 million for the second quarter, down $14.2 million year-over-year, reflecting both higher working capital requirements as well as increased purchases of raw materials in anticipation of tariffs and to support business growth. We are optimistic in our ability to deliver positive free cash flow for the full year 2025. During the second quarter, we deployed $25.6 million against capital investments and $8.7 million for dividends. Now on Slide 10 and 11, Luis will update you on our strategic priorities and capital investments.
Luis E. Rojo: Thanks, Ruben. Our customer will always remain at the center of our strategy and innovation efforts. Our Tier 1 customer base remain a solid foundation of our business. Continue our new customer acquisition within Tier 2 and Tier 3 customers remains a key priority. This is an important and profitable growth channel within our Surfactant business. For the second quarter of 2025, our volume grew low single digits year-over-year, and we added over 400 new customers. Our end market diversification strategy remains a key focus area. For the second quarter, we continue to see double-digit growth in our crop productivity and oilfield businesses. We are pleased to see our North American and European Rigid Polyol business continues to deliver year-over-year growth. Insulation remains a critical enabler of a more sustainable and energy efficiency world, and we are confident in the long-term growth prospects of this business. Our focus continues to be on developing the next-generation Rigid Polyol technologies that can increase the energy efficiency and cost performance of our customer insulation products. Additionally, we are excited about the new products we're introducing in the growing spray foam end market. Within polymers, we are able to achieve significant growth in our commodity PA business, which will enable us to deliver earnings growth in 2025. Our supply chain operational resiliency continues to improve, and we delivered another solid quarter in all our key operational metrics. We continue making investments in our Millsdale site to improve operational reliability. Moving to Slide 11. We continue to ramp up production at our new Pasadena, Texas site. We have made 31 different products to date. We expect that the full contribution rate of the plant will be achieved during the fourth quarter of 2025 with full year benefits in 2026. Our commercial team continues to develop and deliver new business opportunities and specialty alkoxylation volumes continues to grow strong double digits in the second quarter. Looking forward, we remain focused on accelerating our business strategy through enhanced operational excellence to grow volume, improve product and customer mix and accelerate free cash flow generation. We believe our Surfactant business will experience continued growth in our key strategic end markets and that polymers demand will continue improving as we get more market certainty and we execute our innovation and growth plans. Our Pasadena facility is operational. And as we have previously communicated, this should enable us to deliver volume growth in our alkoxylation product line and supply chain savings going forward. We remain on track to close the sale of our site in the Philippines in the fourth quarter of 2025, and we will continue to look for opportunities to optimize our footprint and asset base around the world. Despite all the current market uncertainties, including the impact of tariffs, we remain optimistic that we will deliver full year adjusted EBITDA and adjusted net income growth and positive free cash flow in 2025. This concludes our prepared remarks. At this time, we would like to turn the call over for questions. Gigi, please review the instructions for the questions portions of today's call.
Operator: [Operator Instructions] Our first question comes from the line of Mike Harrison from Seaport Research Partners.
Michael Joseph Harrison: I wanted to say congratulations, and welcome to Ruben. First question I have is, it sounds like there were some onetime impacts in the Surfactants business. You mentioned the Pasadena start-up costs. I believe you quantified that at about $6 million, but I was hoping you could quantify the remediation reserve adjustment, the EPA penalty, and I guess, any other onetime or unusual impacts. And then the next question is going to be on raw materials. So let's save the raw material discussion for a minute.
Luis E. Rojo: Thanks, Mike. The $6 million includes all the one-timers that we had. So it includes Pasadena, includes the EPA fine, which we are planning to recover. The EPA fine is around $1 million, and we are planning to recover that in the next few quarters. And -- but the majority of the impact was the Millsdale reserve for environmental remediation work and also the start-up of Pasadena. So all of those 3 items is the $6 million.
Michael Joseph Harrison: All right. Perfect. And then in terms of the raw material impacts, can you just give us a little bit more color on what you're seeing in terms of the timing, I guess, if there's any way to help quantify the headwind that you saw in Q2 and also the timing of getting pricing to offset those higher raw material costs. Presumably, you expect to catch back up in the second half, but any greater detail on how that quarterly cadence goes would be helpful.
Luis E. Rojo: Yes. Great question, Mike. And let me start with, the first half of the year was a decent year, not -- I'm not happy with the first half. It could have been better, but it could have been significantly worse if you think about where the chemical industry is. But if you think of the first half, we are growing adjusted EBITDA in Surfactants, in Polymers and Specialty Products is only a timing thing. We shipped a lot of the pharma business last Q2 in 2024, and we are going to ship it now in the second half of 2025. So if you exclude that, we are growing adjusted EBITDA in the 3 businesses that we have, which is remarkable and it's a good base to start with. Now, let's go deeper into Surfactants because that's where your question was. And if you think about the $83 million of adjusted EBITDA in the first half for Surfactants, of course, we are not happy with $83 million and 5% growth. But if you think about the one-timers that we had as we were talking all the start-up of Pasadena and Millsdale and the EPA plus the raw material situation, 5% growth is a decent number. What I will tell you is when you think about the raw material impact, you see coconut oil at $3,000 per metric ton, which used to be $1,000 per metric ton 18 months ago. We are still catching up on our price execution. We had -- everybody knows we had another price execution at the end of the quarter in June. So that, of course, is not reflected in the quarter. So the true norm that I see instead of that $83 million that you saw for the first half in adjusted net income, I see $90 million, $93 million, right? That's where the Surfactant business should be. And of course, from that $90 million plus, that our challenge now is how we're going to grow from that $90 million plus with Pasadena savings with the pricing kicking in and all of that. So I feel good about what the team is delivering there are lags and we cannot execute and we cannot recover everything overnight, but I feel good about the trajectory that we had in the first half. And I think what we executed and what we are executing in the next few quarters with productivity, with pricing, with Pasadena will allow this business to get where the EBITDA needs to be. And you know we don't provide guidance, but you can see that I'm telling you 90 plus should be the number in the first half. And on top of that, we need to deliver more pricing and Pasadena savings.
Michael Joseph Harrison: All right. That's very helpful. I guess last question for me is you mentioned the new collective bargaining agreement in Millsdale. What are the effects of that? Is that more of a comment on Q2 performance? Or is that a future impact related to presumably higher wages and benefits?
Luis E. Rojo: Look, we are extremely happy with our workforce in Millsdale. And this is an event that happens every 4 years. So the previous agreement was done in 2021. And we just executed the new agreement for the next 4 years. We're extremely happy with our workforce in Millsdale, and we will continue improving there in terms of productivity and all the efforts that we're doing. The plant is running better than previous years, but we still need to make improvement. And we made the comment because, of course, we always build inventory as part of that process. So that is kind of a cash impact in our inventories.
Operator: Our next question comes from the line of Dave Storms from Stonegate.
David Joseph Storms: I wanted to start with the AOS expansion that you announced mid-quarter. And I wanted to kind of get your thoughts on maybe who stands to benefit the most from this? Is this targeted at expanding capacity for Tier 1 clients, Tier 2 or 3 clients? What would you say are the long-term benefits from this?
Luis E. Rojo: Great question, Dave, and happy that you bring this topic up because we have talked a lot in the past about low 1, 4 and ether sulfate. The reality is we want to make sure, Stefan is a one-stop shop. We have all the technologies that you need in Surfactants to deliver the products that you want to deliver in the marketplace. AOS is an important building block for the sulfate-free business. We are -- we want to be more aggressive in the sulfate-free business in the future because it's an important growth element of the market. If you think about a lot of the beauty care industry continues, this is a trend that started many, many years ago and continues to be like that, is going through a lot of sulfate-free technologies. So we want to make sure that we offer all the options when you think about surfactants and when you think about feedstocks to our customers to get to the best performance and cost for what they need. AOS is an important building block. We have extra capacity, and we're going to grow in AOS in the near future, for sure.
David Joseph Storms: Understood. That's very helpful. And then just kind of switching gears, thinking about the Philippines asset sale that you mentioned is expected to close in 4Q. You also mentioned that you're continuing to look at other asset optimization opportunities. Just any sense of what those opportunities would look like? Any other levers you're going to looking at pulling? Would it take the form of more asset sales? Or do you have other things in mind?
Luis E. Rojo: Great question, Dave. And we will continue looking at our footprint. We will continue to look at all our assets, even within plants. We are looking our -- the productivity of each of our assets because we need to make sure that we get the return that we deserve from each of those assets. So there is no secret that there is overcapacity in the chemical industry overall. I'm not talking about a step-up, but overall, there is extra capacity, and that's where the whole industry needs to be more careful on making sure that we rationalize that capacity. In our case, we are looking at several options, and we will continue optimizing our asset base going forward, nothing concrete right now, but you will hear more from us in the future.
David Joseph Storms: That's very helpful. One more, if I could sneak it in, and apologies if I missed this in the prepared remarks. The tax benefit that you saw in the quarter, that's expected to be a onetime benefit and tax rates going forward should return to the normal range.
Luis E. Rojo: Yes, you are totally right. We had a few IRS audit closures that provided benefits to us, discrete benefits. So we continue to believe that our normal tax rate is between 24% to 26%, and that's the normal going rate. Of course, we will continue working on projects. And if -- so -- but the normal going rate will continue to be the 24%, 26% effective tax rate.
Operator: [Operator Instructions] At this time, I would now like to turn the conference back over to Luis Rojo for closing remarks.
Luis E. Rojo: Thank you very much for joining us on today's call. We appreciate your interest and ownership in Stepan Company. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.